John Roche: Thank you, Ann. Good afternoon to everyone on the call today. Welcome to Seadrill Limited’s Third Quarter Earnings Conference Call. With me today I have Per Wullf, our Chief Executive Officer; and Rune Magnus Lundetrae, our CFO. Before we do get started, I’d like to remind everyone that much of the discussion today will not be based on historical fact, but rather consist of forward-looking statements and are subject to uncertainty. We articulate some of the new items on Page 2 of the presentation. For additional information, please visit our website at www.seadrill.com. To begin the discussion today, Per is going to take us through some of the third quarter highlights and some of the more recent developments in the offshore drilling market. Per is also going to discuss a number of Seadrill’s recent contract wins and the overall market outlook. Rune will then address our financial highlights and take us through the rationale behind our dividend suspension and also Seadrill’s funding requirements going forward. With that, I’d like to turn the call over to our CEO, Mr. Per Wullf.
Per Wullf: Thank you, John, and good afternoon, everybody. The Seadrill group has had another strong quarter and has grown EBITDA by 27% year-over-year. I’m pleased with this impressive growth rate and the amount of value we have generated for shareholders by operating a best-in-class fleet with a best-in-class organization. We continue to focus our effort on running a safe and efficient operation by always keeping customer satisfaction on the top of our mind. Seadrill’s value generation can be attributed to our industry-leading newbuild program and an innovative financing strategy, which has been in place since our inception and remain in place today. Of course, in a cyclical business, there will be many smaller cycles within a long-term uptrend and that is what we are facing today. Since our last call we reported in August, the oil price has dropped by 23%, $24 a barrel. It remains to be seen how long the current market condition will persist and during this period, short to medium-term visibility will be reduced. We have also seen day rates falling materially and contract cancellations in addition to further subletting activity. Most of all, however, has been the lack of visibility created by these events. At the management team, our focus has shifted to making responsible decisions and preparations for again making opportunistic ones. However, the company believes the long-term fundamentals of our industry remain intact driven by the fact that the days of easy, low cost oil are over and reserves required to meet long-term demand growth are still to be found in the deep and ultra-deepwater regions. As mentioned by a number of major oil companies, these reserves are well positioned on the cost of supply curves and can be expected to be produced even at today’s oil prices. It remains to be seen how long this current market will persist, however, Seadrill is prepared for whatever may transpire having locked up a large portion of its fleet and by making a preemptive dividend cut in order to pay down debt and focus on opportunities that may arise. A little late, Rune will provide more detail in the call on the philosophy behind our dividend and how we intend to utilize the available funds to generate further shareholder value. Since our last earning report, we have announced a number of new contracts and we now have even fewer rigs exposed to this challenging market. First off, we have signed a number of contracts and extensions with Petrobras in Brazil. We now have Petrobras Board and partner approval for two rigs, the West Tellus and West Carina to work on the Libra Field. The total revenue potential for these two contracts is approximately 1.1 billion including mobilization for these three-year contracts. Additionally, we received Petrobras Board approval for three-year extensions for the West Tellus and West Eminence in direct continuation of their existing contracts. The total revenue potential for the extensions is 1.1 billion as well. We have also signed 145-day extension of West Eclipse in Angola with Total, again in direct continuation of the existent contracts representing a revenue potential of 65 million. And finally we have signed a number of jack-up contracts; contracts with West Vigilant, West Leda, West Telesto represent a collective $120 million of backlog additions. Overall, I’m very pleased with the contracting activity in the past three months, however, this does not change the challenges that this industry is facing in the near term. We expect to see 2015 materialize into a more challenging market than 2014 and rig owners with aging fleet that have the available capacity will likely encounter significant difficulties. Following these new fixtures, Seadrill has 9% of its floater fleet and 26% of its jack-up fleet available in 2015 and 26% and 61% available for 2016, respectively. Seadrill’s success for tenders and extensions in Brazil have particular importance to the company. Not only do they fix a good portion of available capacity but also demonstrate that Seadrill’s strategy of creating strategic partnership with key customers is paying off. The lead for tenders are an example of Seadrill’s follow-up planning as we were one of the few competitors that were able to deliver high specification units and manage pressure drilling equipment within Petrobras’ desired start-up window. Managed pressure drilling is particular important for the Libra Field and it will materially increase recovery rates. Seadrill have two spare kits in its cabinet of spare inventory. These are packages that have a 12 months lead time and if you have not planned accordingly, the opportunity to bid on these tenders would be lost. Accordingly, there were a limited number of companies able to compete for these opportunities resulting in improved pricing relative to all recently announced contracts. The success in Brazil is also an example of Seadrill’s strategy of aligning strategically with customers. Whether it be in U.S., Mexico, Saudi Arabia, Nigeria or Russia, Seadrill has evolved to a company that provides strategic solutions to clients rather than just a single asset. We look forward to continued success with our strategic partnerships and the stability that it brings to the employment of our fleet. The near-term outlook for ultra-deepwater drilling units has become increasingly challenging in light of the market developments over the course of the last quarter. While there are not yet clear indications that the oil price declines will alter oil companies spending plans in 2015, some rig owners are already acting as it will. This is especially true of those rig contractors that are concerned about the viability of their order units and the cost associated with keeping those assets in service. With approximately 25% of the ultra-deepwater fleet available in 2015, certain rig owners seem willing to work at or close to cash flow breakeven rates and we expect this type of activity to continue in the short term. Seadrill remain very well positioned in this environment with relatively few rigs exposed to falling day rates in the near term. Following the announcement of four contracts in Brazil and an extension of the West Eclipse, Seadrill has only 7% of the floater fleet available in 2015. If oil companies adjust their budgets based on the current macro environment, tendering activity may remain at the current low levels or even decline further. On the positive side, major oil companies are still proceeding with planned development projects and independent oil companies are coming to the market to take advantage of current day rate levels. It appears that short-term exploration plans are under the greatest pressure and maybe pushed back if the lease expirations right are not breached. Typically, at this point in the year, we would have expected to understand what near-term demand look like and the fact that we do not may be an indication that projects have encountered further budgeting delays. The long-term outlook for the floater market is intact and we believe the current market is in the short-term dislocation driven by a pullback in spending at a time when a significant number of new rigs are entering service. Over the long run, these rigs would be absorbed as reserves discovered in the deep and ultra-deepwater are developing. The premium jack-up market much be approached with an element of caution. Overall, utilization continues to decline as the market digests newbuilds coming to the market. The dynamics in the jack-up market are quite different from the floater market as the work is primarily developed and is not affected by cuts in the exploration budgets. However, with 65 units coming into service in 2015 there is likely to be increased pressure on day rates in the short term. Although this may paint a rather bleak picture, there is high likelihood that many rigs that are on order will not make it to market or end up in the hands of contractors without the operational and safety track record required to compete in the global market. Maybe all companies do, however, continue to high grade their jack-up fleet, which will provide some attractive opportunities for established contractors in this segment. Looking at the overall supply and demand panels in the long run, the fundamentals remain intact with over 200 rigs older than 30 years and roughly 140 rigs expected to be delivered up to 2017, the replacement cycle will materialize. The key question still to be answered, how long it take for attrition to take place and if the high specification units can retain pricing power during this replacement cycle? A very competitive jack-up market puts further emphasis on the need for drilling contractors to have strong local relationships in markets where national oil companies dominate the tendering process. Seadrill’s global footprint is underpinned by our ability to develop and execute on building a local presence through joint venture models that comply with strict local content regulations; example of which already exists, Mexico, West Africa and Asia. We find it encouraging to see the industry rationalizing older fleet with increased stacking and scrapping activity. We expect this activity to accelerate as 2015 progresses. Roughly, 45% of the current floater fleet is 15 years old and 30% of the fleet is 30 years old. Although these older units are not directly competitive with Seadrill’s fleet, it will allow our competitors with less capable fleet to be less concerned about the cash flow drain older units create and they will be in a more stable condition overall thus less willing to work for breakeven day rates. In the meantime, however, challenges will continue for the industry. Seadrill’s high specification fleet gives the company the flexibility to choose the right contract at the right rate and remain idle if necessary. In order for this industry to return to a healthy state, scrapping activity is required. The often repeated mistake of spinning off older fleets is not a productive exercise for rig owners or shareholders. In most cases, a competitor is formed and rationalization is further postponed. So the last bullet I have before I hand it over to Rune is I encourage all stakeholders in this industry to make the different decision, focus on return on invested capital and put old assets to rest. This industry has a long history of value destruction and today’s environment in presenting the perfect opportunity for the industry as a whole to focus on creating value rather than try to manage through with soft standout fleets. With this, I will hand it over to you, Rune.
Rune Magnus Lundetrae: Thank you very much, Per, and welcome everyone to our call this afternoon and this morning in the U.S. I’ll start off by addressing the decision to suspend the dividend. Seadrill’s dividend policy is based on a number of factors that affect the company capacity and desire to pay dividend. First is our order backlog and the margin we expect to earn, second is the drilling market outlook. Although, we may be able to sustain a certain dividend level based on the visibility provided by our backlog, if the net to a market becomes challenging enough it might be wise to retain capital for structural opportunities. The third factor is the condition of the financing market. Seadrill utilizes the capital market to bring forward future earnings and pay dividends, amortize debt and fund capital expenditure for our growth. If the capital markets are unattractive, it may decrease the company’s desire to distribute the dividends. Finally, our distribution relies on operations, which drives our earnings. Seadrill much earn every dollar of backlog every day by keeping its rigs operating. Since the last quarterly report in August, a number of developments have affected the factors that dictate our dividend distributions. In our view, the most significant impact has been the uncertainty in the macro environment. We view the deterioration in all prices as an indicator of more than broad demand growth concerns and much approach the current macro environment with an element of caution. This taken into account with the near-term oversupply of drilling units makes it all the more important to build a strong balance sheet. In addition, the financing market has become incrementally worse and although Seadrill still has significant access to funding, some markets have become unattractive. In light of these changes that have taken place since our last report, the Board together with the management have taken a decision to suspend the dividend distributions for the time being. We believe this decision will enable Seadrill to strengthen its balance sheet and at the same time put the company in position to act as a consolidator as opportunities become available during this downturn, or to grow organically. By pausing the dividend, Seadrill’s capital position will improve by approximately $2 billion a year and a significant portion of these funds will be available to be deployed in value-creating opportunities including both industrial growth avenues and more pure financial transactions. To provide alternatives for deploying this capital, the Board has authorized a share buyback program for up to 10% of shares outstanding. Additionally, Seadrill will be looking across its portfolio of outstanding debt and equity securities for other opportunities. However, the Board expects the majority of available funds to initially be used to delever the balance sheet. I’ll then move over to the financial performance highlights and I’m starting with the income statement. Revenues for the third quarter was $1.3 billion compared to approximately $1.2 billion in the second quarter. The increase is primarily due to certain rigs with full operations during the quarter compared to the prior quarter and better utilization for certain rigs compared to the prior quarter. This was offset by idle and downtime expense during the quarter, primarily on the Tellus, Louisiana and the Eminence. Operating profit for the third quarter was 461 million compared to 476 million in the second quarter. The decrease is primarily due to the effects of idle and downtime previously mentioned offset by increased operating costs for rigs in full operations during the quarter. Net financial and other items for the third quarter was a loss of 232 million compared to a gain of 71 million in the second quarter. The loss this quarter is primarily related to interest expense, losses on derivative financial instruments and a net loss on the extinguishment of debt. Income tax expense for the third quarter was 39 million compared to a benefit of 106 million in the previous quarter. The increase this quarter was due to the release of a reserve following the resolution of uncertain tax positions that incurred during the second quarter. Moving over to the balance sheet. Total current assets were approximately 3.4 billion at the end of the third quarter compared to 3.2 billion at the end of the second quarter. The change is primarily driven by the increase in cash and amounts due from related parties, and this was offset by a decrease in marketable securities and accounts receivable. Total non-current assets were 24 billion approximately at the end of the third quarter compared to approximately 23.4 billion at the end of the second quarter. The change is primarily due to an increase in newbuildings driven by the final yard installments for the West Jupiter, the West Neptune and the West Saturn, offset by a decrease in investment in associated companies. Total current liabilities were approximately 3.6 billion at the end of the third quarter compared with 4.1 billion at the end of the second quarter. The change is primarily due to the normal quarterly debt installments and debt refinancing off by the drawdown in credit facilities for the newbuild program. Long-term external interest-bearing debt was approximately 11.4 billion at the end of the third quarter compared to 10 billion at the end of the second quarter. Total net interest-bearing debt was 12.6 billion approximately at the end of the third quarter compared to approximately 12.4 billion at the end of the second quarter. The change in long-term debt is primarily due to the new credit facilities for newbuild deliveries and refinancings offset by the conversion of the 650 million convertible bonds we completed in July. Finally, total equity was approximately 10.9 billion at the end of the third quarter compared to approximately 10.7 billion at the end of the second quarter. The change is primarily driven by net income for the quarter, the issuance of new shares as a result of the convertible bond conversion offset by dividends paid for the second quarter. If we look at the EBITDA for third quarter compared to the second quarter, we see that we came in at $635 million versus $641 million in the second quarter. On a pro forma basis, it was $842 million compared to $865 million in the second quarter this year. Most of the changes are related to the Tellus being idle and also the downtime on Louisiana and the Eminence. Finally, I’d like to address the funding profile of Seadrill. The Seadrill group has secured over 9 billion in new financing commitments this year with a number of capital market and bank funding transactions. Some of the more notable deals since our last earnings report; of the $750 million SeaMex credit facility to refinance the West Oberon, the West Intrepid, West Defender, West Courageous and the West Titania. These rigs will be contributed to the company’s joint venture with Fintech in Mexico and have long-term contracts in place with Pemex. The facility has no recourse to parent and was 50% oversubscribed, demonstrating our lending banks’ continued commitment to Seadrill. Also in November, we launched and also got commitment for the $950 million credit facility to finance the West Carina and also refinance the West Eclipse. For the Carina, the loan was structured with a steel tranche and a contract tranche in preparation for the possibility that the West Carina would be delivered without a contract. The announcement of the Petrobras Board and approval for the unit on the Libra Field removes the necessity for this structure; however, we are pleased to have worked through this process with a banking group and intend to apply the structure also going forward. For the remainder of 2014, we are fully financed having taken delivery of our last newbuilds for the year in September and also reached an agreement with the shipyard for the delayed delivery of the Sevan Developer. As of today, the company has four jack-up units and a $350 million bond to be refinanced in 2015; one ultra-deepwater and four jack-up units in 2016 representing a total of 1.1 billion to be refinanced between now and the end of 2016. For 2015 and 2016, we have a total of 1.6 billion and 2.3 billion in yard installments to finance respectively. This will likely be funded by a syndicate of commercial banks and export credit agencies. Similar to our strategy for financing the West Carina, we have informed our banking group of our intent to explore a steel tranche that would cover approximately 50% loan to value and in conjunction seek commitments for a delayed draw revolver contingent on having a contract for the unit, bringing total leverage up to our typical 70% loan to value. The feedback in interest from the banking group thus far has been very supportive. With that, I bring the word back to John and we’ll open up for Q&A.
John Roche: Thanks, Rune. If we could begin to assemble the queue for questions. Before we do begin, I’d just like to ask everyone to limit their questions to one question plus one follow up. We do have a large number of callers on the line today. So, Ann, if we could go ahead and assemble the queue, that would be great.
Operator: Certainly. [Operator Instructions]. We will now take our first question from Ole Slorer from Morgan Stanley. Please go ahead. Your line is open.
Ole Slorer: Thank you very much and well done in securing the contracts in Brazil. But against the backdrop of having filled in substantially all of your availability near term, could you address how you have revised your macro outlook over the past few months in light of the cuts in the dividend?
Per Wullf: Just the last part, Ole, you were cutting out. Can you just repeat your question again, the last part of it please?
Ole Slorer: Yes, just basically wanting an update on how you see the, say, the 2016 environment given that you have locked up all of your 2015 exposure by and large and in light of the decision to suspend the dividend?
Per Wullf: As you have noted, our contractors’ backlog is that we have the $20 billion in contract as we speak and we have fantastic cover in 2015 and actually also very well covered in 2016 and that looks very good. But we can’t look further out in 2016. We are guessing when we are out in 2017 to be honest, so I can’t really comment on that. But you know us well as I do, you have seen the presentation, we have a fantastic coverage 2015 and '16, so I can’t really comment more on it than that. But we can maintain our $20 billion contract backlog and that is important to us.
Ole Slorer: Okay. So 26% of your floaters you highlighted were available in 2016. Could you comment a little bit about your four newbuildings for delivery and the type of flexibility that you might have on the delivery schedules there, particularly in light of what you did with the Sevan Developer? Do you have similar opportunities to suspend delivery?
Per Wullf: I can. Let’s take the Seadrill’s four deepwater units to start with. Being part of the Fredriksen Group, we have a fantastic advantage in Seadrill and we have a very good relationship with the yards where we are building our rigs up [ph] and we always sit in close dialogue with the. You will probably notice that our four newbuildings, they are sliding into 2016 as we speak but it is a thing that is happening together with the yard in question we are dealing with them. And here we are talking with both DSME and Samsung. So this is a close diagram [ph] of where it’s going and they will go and come in second and third quarter '16 as it looks now, but time will show. When we talk about the developer, there is a typical example of how the recent agreement together with the yard in question, this case here it is COSCO, we have agreed – or Sevan have agreed not to take delivery of this unit. We have a year to make up our mind whether we will go and take delivery and we will only go and take delivery of that unit if we obtain a contract that justifies it. We can actually also terminate this agreement after a year should we not find work for this rig. On top of that we’ll actually also get the installation costs back. So that is typical the way we sit and negotiate closely together with the yards in order to make sure that we both win on individual situations.
Ole Slorer: Okay. Thanks, Per. I’ll hand it back.
Operator: We will now take our next question from Anders Bergland from Platou Markets. Please go ahead. Your line is open.
Anders Bergland: Yes. Good evening, gentlemen. Just one comment on the dividend. I think it’s prudent that given the bleak outlook and the challenge that we are facing here, so we’ll just have to – so you’re in a good position to weather through this downturn. I had some question on the contract structure. We saw that the Sevan Louisiana had a renegotiation of its day rate. How does this – any read through to your other contracts on the Sevan portfolio that we could see some renegotiations, contract cancellation? There has been some cases out there recently?
Per Wullf: Yes, I can. When we look at our drilling contract and the [indiscernible], we don’t have any contracts where we just can cancellate the term or the contracts unless there is a payback of typical standby rate times remaining days. When we take – the Sevan Louisiana is a specific case. When we came in control of Sevan, this was a contract we inherited. It was not a contract done by Seadrill. And we knew that there was a calculated risk there and it is the only contract I’m aware of in Seadrill and the Seadrill group where there was this possibility of actually could terminate a contract prior to the fixed term without any penalties obviously. And then the position we’re taking to continue with the rate that was announced at $350,000 a day rather than going idle with the units. But it is a one unit specific case. As far as I am concerned, we don’t have it on any of our existing contracts.
Anders Bergland: Okay. And then just one follow up. You secured some contracts with Petrobras. What is in your view the roadmap for more contract extensions with Petrobras for, let’s say, the remainder of 2015, '16?
Per Wullf: We have worked in Brazil the past six years. We are extremely pleased working down there and our relationship with Petrobras is just becoming better and better and better day after day and we consider them a strategic partner. That’s number one. Number two is, we have extended the existing units down there another three years. We have got a cover of drillships in three years. And just recently they have also released a couple of tenders. And strategically it is an extremely important area for us and we have units that suit and we are ready to go in actually on all of our – a couple of our existing newbuild deepwater units to Petrobras here going forward. So we will of course take actual part in that tender process. And please also think about how important Petrobras is to us. We have three rigs coming on a later state where we are building together with [indiscernible] and we have a 30% stakeholder and three ultra-deepwater units going down there working 15 years for Petrobras. So, Petrobras is an extremely important strategic partner for us and it looks good for us actually.
Anders Bergland: Okay. Thank you very much. That’s all from me.
Operator: We will now take our next question from Mike Urban from Deutsche Bank. Please go ahead. Your line is open.
Michael Urban: Thanks. Good afternoon. So you’ve stated your commitment to the Rosneft contracts for the time being and to see how the geopolitical situation plays out. But in the meantime, are you looking for opportunities for those rigs elsewhere or marketing them elsewhere in the event that you’re not able to move forward on this contract?
Per Wullf: Yes, of course we do. Like we have said, we have – with Rosneft we have until May next year where both of us can actually leave this or move away from this agreement because of sanctions within Rosneft. And we are talking about two rigs in question. We are talking about West Navigator and we are talking about West Rigel. West Navigator is working up in Norway as we speak, Rigel is coming into service fourth quarter next year. In West Navigator we are not just marketing these in Norway, we’re actually marketing that rig worldwide because of course we try to secure interim employment for this rig until we have the Rosneft deal in place. The same counts for Rigel. The plan was that she will start up in Vietnam [indiscernible]. We are also marketing her worldwide until we know our follow-up plan with Rosneft. And that is the two rigs we are talking about in 2015.
Michael Urban: Right. And given again the sanctions in Russia and Statoil cutting in Norway, again in the event that the rigs are not able to work for Rosneft, would you say it’s more likely they’d have to compete globally or outside of the harsh environment market?
Per Wullf: I think it just proves how correct it was for us to enter into an agreement with Rosneft. Think about if we had been sitting just with Statoil, it would be horrible. So the thing that we are moving our units in a border area, not just Norway for our harsh environment units is the correct thing for us. That is one thing. But also Navigator can be used in this harsh environment areas until such time that we find the right timing to enter Russia with Navigator. So we definitely did the right thing looking elsewhere than working for an operator controlling 80% of the Norwegian North Sea.
Michael Urban: Right. Great. Thank you.
Operator: We will now take our next question from Lukas Daul from ABG. Please go ahead. Your line is open.
Lukas Daul: Thank you. Good evening, guys. I had a question on the Petrobras deal. Can you say what the clean rates are for the contracts excluding [indiscernible] and contract specific CapEx? And can you also say – you are getting the same revenue for two older rigs and two brand new drillships? Can you sort of talk a little bit about the process how you got there?
Per Wullf: No, I cannot clearly. When we disclosed these things, we always talk about contract values and we have indicated that and we have explained exactly what that is, so we talk about total revenue and we talk about churn. And I cannot really go any further. And if there’s more to explain there, I’ll ask you to contact John Roche and he can talk more detail if he wants to talk in more detail on it.
Lukas Daul: Okay. And then on the West Eclipse, which is working in Angola, I thought there was with an option on that rig lasting throughout 2016. Can you say what happened there with the contract becoming sort of shorter and what’s the plan for Eclipse?
Per Wullf: Well, there was an option to secure it for a longer time than we have right now. That option lapsed but we extended the contract with [indiscernible] I think it is June as I recall it and that was agreed on with Total. I can tell you that we are in close dialogue with another operator around that rig to take it in directly continuation but now that’s as far as it can go. So we don’t expect to see that rig idle in 2015.
Lukas Daul: All right. Thank you.
Operator: We will now take our next question from J.B. Lowe from Cowen and Co. Please go ahead. Your line is open.
J.B. Lowe: Hi. Good afternoon, guys. I just had a question that given the 2 billion of excess capital that you’re going to have every year because you’re cutting the dividend, how much of that – and given that that’s going to be used to shore up the balance sheet more or less, how much of that can you actually use for, a, the share buyback that you authorized, or b, any sort of other opportunities?
Rune Magnus Lundetrae: So we a Board approval now to buy up to 10% of the outstanding shares. That’s one part of it. We also have a bond that matures next October, $350 million. And I think with the current bond market, I think it would be prudent to use some of that capital to take out that bond and not issue a new one unless the bond market improves on the back of this suspension. I think we also have some RCFs that we can drawdown on and save interest unless we find other things we want to use that capital for.
J.B. Lowe: I guess another way of asking it is, besides all of the debt work that you could do what amount of that 2 billion would you be willing to spend on other things?
Rune Magnus Lundetrae: I don’t think we should guide on that exact split right now but what I do know is that we have plenty of securities and debt out there than we can look at.
J.B. Lowe: All right. And just a quick follow up. Did you guys expect the share price reaction to the dividend cut and would you be buying – would you be using some of that buyback authorization today?
Rune Magnus Lundetrae: What I can say is that the share price has been quite volatile also since we announced the dollar in August, so the volatility does not surprise us but I can’t really comment on the share price level and whether or not that surprises us.
J.B. Lowe: All right. Thanks so much.
Operator: We will now take our next question from Harald Øyen from SEB. Please go ahead. Your line is open.
Harald Hornes Øyen: Hi, guys. Thanks. Good evening. Just a short question. You guys talk about 2 billion in dividend cuts. Does that mean your base case is sort of a year to spend the dividend or could you share some thoughts on the duration of the suspension please?
Per Wullf: No, we’re not going to guide on the duration and I think that’s the challenge here, because beyond 18 to 24 months it’s difficult to have a clear visibility on the market. I think we will resume the dividend as soon as see or that we’re comfortable that the cycle has turned. And now that we have been prudent and responsible and cut it relatively early that also means that we can resume early in our view because we are straightening the balance sheet and we’ll also deleverage over the next quarters. So you shouldn’t read that as being necessary a one year suspension. What we said is that we will release $2 billion when we are suspending it.
Harald Hornes Øyen: Great. Thanks. That’s all from me.
John Roche: Operator, we have time for one further question.
Operator: We will now take our final question from Darren Gacicia from Guggenheim. Please go ahead. Your line is open.
Darren Gacicia: Hey, good morning. Wanted to ask…
Operator: Caller, please go ahead, your line is open. It appears the caller may have stepped away, so I would like to hand the call back to the host for any closing remarks.
John Roche: Thanks. It looks like the blizzard back in New York got the better of Darren there. I’d like to thank everyone for joining our third quarter conference call. This concludes the call. Thanks, everyone.